Operator: Thank you for standing by, and welcome to the Skyward Specialty Insurance Group's Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen only mode. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's program is being recorded. And now, I'd like to introduce your host for today's program, Natalie Schoolcraft, Vice President of Investor Relations. Please go ahead.
Natalie Schoolcraft: Thank you, Jonathan. Good morning, everyone, and welcome to our fourth quarter 2024 earnings conference call. Today, I am joined by our Chairman and Chief Executive Officer, Andrew Robinson; and Chief Financial Officer, Mark Haushill. We will begin the call today with our prepared remarks, and then we will open the lines for questions. Our comments today may include forward looking statements, which by their nature involve a number of risk factors and uncertainties, which may affect future financial performance. Such risk factors may cause actual results to differ materially from those contained in our projections or forward-looking statements. These types of factors are discussed in our press release as well as in our 10-Ks that was previously filed with the Securities and Exchange Commission. Financial schedules containing reconciliations of certain non-GAAP measures, along with other supplemental financial information, are included as part of our press release and available on our website skywardinsurance.com. With that, I will turn the call over to Andrew. Andrew?
Andrew Robinson: Thank you, Natalie. Good morning, everyone, and thank you for joining us. We finished the year strong reporting adjusted operating income of $0.80 per diluted share for the quarter, driven by both outstanding underwriting and investment results. For the third time this year, we delivered quarterly growth above 20%. For the year, our adjusted operating income of $2.87 per diluted share is up over 28% compared to 2023. Our book value per share was up 18% from the beginning of the year to $19.79 and our full year return on equity of 16.3% was again a strong result. The 19% full year top line growth was outstanding given the current market backdrop. And our focus on shifting our portfolio to less P&C cycle exposed parts of the market is working. I'll talk more about that later in the call. With that, I'll turn the call over to Mark to discuss our financial results in greater detail. Mark?
Mark Haushill: Thank you, Andrew. We had another strong quarter reporting adjusted operating income of $33.2 million or $0.80 per diluted share and net income of $14.4 million or $0.35 per diluted share. For the full year, our adjusted operating income of $126.7 million was up 57% over the prior year. Gross written premiums grew by 21% for the quarter and 19% for the year with surety, programs, captives, transactional E&S and agriculture each contributing meaningfully to the growth this quarter. Net written premiums grew by 23% for the year and our retention of 64.5% was up over the prior year of 62.4%. Turning to our underwriting results. Our fourth quarter adjusted combined ratio was 91.6% and included 2.2 points of cat losses, principally from Hurricane Milton. Our adjusted operating combined ratio of 91.2% for the year was elevated slightly compared to 2023, driven by the marginal increase in our cat loss ratio. The non-cat loss ratio of 60.5% for the quarter and 60.6% for the year were consistent with the prior quarter and the year. In line with what we previously disclosed, in the fourth quarter, we increased reserves by $25.3 million related to losses previously subject to the LPT from accident years 2018 and prior. The net impact of the LPT on the combined ratio was 4.2 points in the quarter and 1.1 points for the year. On January 31, we commuted the LPT removing future reinsurance recoverable credit risk related to this portfolio. As we previously discussed, during 2024, we completely rebuilt our actuarial data and converted from policy to accident year for accident years 2020 and after. This undertaking was considerable as we mapped gross, ceded and net premiums and losses to each accident year, which improved the fidelity of our accident year data compared to our prior estimation method of reserving by policy year and allocating to accident year. I'll note that our reserve position continues to be strong. And as a measure of that strength, our IBNR now makes up over 69% of total reserves, up from 63% last year and 57% in 2020. This is particularly notable as we continue to shorten the liability durations and increase the speed of recognition in claims. The quarter to date expense ratios of 28.9% respectively are in line with our expectations of sub-30%. The business mix shift continued to impact acquisition costs for both the quarter and the year, but were offset by improvements in our other operating and general expenses ratio benefiting from the scale of our business. Turning to our investment results. Our strategy to derisk the portfolio continued to pay off with net investment income of $20.7 million in the quarter and $80.7 million for the year, an increase of over $40 million compared to year end 2023. Consistent with our investment strategy to deploy free cash flow to fixed income, in the fourth quarter, we put $46 million to work at 5.8%. The net investment income from our fixed income portfolio increased to $15.9 million from $11.7 million in the prior year quarter, driven by improving portfolio yield and significant increase in the invested asset base. Our embedded yield was 5.1% at December 31, compared to 4.8% a year ago and 5% at September 30. We reported a slight gain of $100,000 in our alternative and strategic investments portfolio, compared to a loss of $2.2 million in the prior year quarter. Both periods were impacted by the change in the fair value of limited partnership investments that was previously classified as opportunistic fixed income. At December 31, this portion of our portfolio only comprised 6% of our overall portfolio compared to 9% a year ago. At December 31, we had approximately $275 million in short term investments and our yield on short term investments was 4.2%. Our financial leverage is modest as we finish the year with a low 13% debt to capital ratio and given our undrawn capacity from our revolver, our current leverage, we have ample debt financing flexibility. Lastly, as previously communicated in our press release on February 5, for 2025, we expect net income of between $138 million and $150 million, a combined ratio between 91% and 92% inclusive of 2 to 2.5 points of catastrophe losses, and we expect gross written premium growth in the low to mid-teens. Now, I'll turn the call back over to Andrew.
Andrew Robinson: Thank you, Mark. It is hard to believe that we've been reporting as a public company for two years now. We're hitting our stride as we continue to deliver outstanding and consistent earnings growth in mid to upper teens ROEs. We remain laser focused on executing our ruler niche strategy and generating top quartile returns at all parts of the market cycle. Our emphasis on seeking growth in high return areas that are less exposed to the P&C cycles appears to be prudent. For Skyward, this currently includes A&H, surety, captives, mortgage, credit and agriculture, which together accounted for 42% of our $388 million of gross written premiums this quarter and 39% of gross written premiums for the year. This aspect of portfolio management has increasingly been an area of focus in our drive to consistently deliver top quartile underwriting returns. Beyond the portfolio focus I just noted, we had double digit growth in six of eight divisions. Professional lines growth was down slightly given softening conditions in more of the lines we target. We do expect that to reverse in 2025 given the investments we have made in healthcare and media, which should offset a more defensive posture in some of the other professional lines. Industry solutions continued to be impacted by our intentional actions in commercial auto, but grew modestly in the quarter as we continue to find attractive new business opportunities in construction and energy. Turning to our operational metrics. We had a quarter similar to last. On pricing, we achieved mid-single digit plus pure rate, global property and as I just noted, some of the lines in professional are being impacted by downward pricing trends. The market backdrop in occurrence liability including auto liability continues to be very supportive of decent rate, although the loss cost inflation environment continues to be challenging as such, we are being very selective in our growth in these areas. Retention was strong in the upper 70s for the quarter, driven by business mix and our intentional actions in commercial auto. Lastly, we continue to see strong submission growth, which was solidly in the teens this quarter, but modestly down from the 20% plus in the prior quarters. We are confident that strong submissions growth will continue across most of our divisions. As I look back on 2024, I have immense pride at the accomplishments of our Skyward team. This year was extraordinary with remarkable growth and industry recognition. From earning our upgrade by AM Best to a full A to securing our place as ninth on S&P Global's list of top performing P&C companies to earning accolades that affirm our place as an employer of choice. We solidified ourselves as a leader in the specialty property and casualty insurance market. 2025 will mark a significant milestone for our company as it is our fifth year since rebranding and reintroducing ourselves to the industry as Skyward Specialty. In just five short years, we've redefined who we are, consistently performed at a high level, and built a company that reflects our vision for the future we are creating. We've transformed our business, reshaped our teams and capabilities, placing us in the strongest position yet to defend and expand our increasing leadership in key markets. On behalf of my colleagues and our board, we thank you for your continued support and we look forward to our continued success in 2025. I'd now like to turn the call back over to the operator to open it up for Q&A. Operator?
Operator: Certainly, and our first question for today comes from the line of Mark Hughes from Truist Securities. Your question please.
Mark Hughes: Just looking at some of this early company data, it seems like there's still a lot of inflation in casualty, particularly in access. How do you see the adequacy of the pricing in that market? Do you think that's going to be a grower for you this year?
Andrew Robinson: Thanks, Mark. Great question. Boy, there's a lot to that. So, let me just say, I think when I look across the market, there's a lot of folks that are reporting pretty hefty rate increases, generally in the occurrence liability lines. And I think what I'd say to you is that might be an indication that now is the time to grow there. I think for us specifically, we will take a more cautious approach. I don't differentiate this that greatly from our discussion a couple of years ago on cat. Cat market was like rock hard. People were loading up on it. It was pretty extraordinary and we just sort of stuck to our plan, right which is, let's be sensible. And in this particular case, I'd say that you can only be confident to the extent that you're confident in the loss inflation. And I think that there's probably not a company out there that is not surprised at the increasing loss inflation as compared to what they thought the loss inflation would be two or three years ago. And if that trend continues, it may very well be that 10 or 11 or 12 points of rate is not enough. And moreover, it's probably not enough if your starting point isn't right. And so, I think we're being really selective about where we're growing. We're trying to make sure that we're shying away from the places where personal injury, bodily injury may be most prevalent in sort of the loss makeup. And I think in that regard, we're being smart. But I do find it interesting, right, because there's a lot of companies out there growing and it seems like investors are applauding it when you see the growth particularly a lot of that's being driven by rate not as much as units. And like I wonder whether that ultimately is going to produce the kind of outcome that people believe it will. I think for us, we're taking a more measured approach as we have been over the course of the last probably eighteen months or so.
Mark Hughes: Yes, I appreciate that. How about your pace of hiring? You've done well growing the top line by adding new teams, new capabilities. How do you see 2025 shaping up?
Andrew Robinson: I think that we are a winner, a very strong winner. We added 19 underwriters in Q4, a very difficult time to add underwriters. We had seven in surety, and I need not to sort of wax on about the wonders of our surety business. And by the way, back to your other question, Mark, it's a fantastic position to be in that we can grow there with people whose books of business will generally follow them versus having to sort of lean in on an uncertain loss inflation environment on casualty. So, I feel really good about it. We've definitely been a winner. I think our ability to attract talent is amongst the very best in the industry, and I don't see any reason that's not going to continue here in 2025.
Operator: Thank you. And our next question comes from the line of Matt Carletti from Citizens JMP. Your question please.
Matt Carletti: Andrew, maybe following on Mark's question there, I mean, you guys have obviously done a really good job adding teams and growing organically. Can you talk a little bit about how you view M&A? Just if it is part of the discussion, if it is off the table, if it's just something you look at, just want to get inside your head and think a little bit about how you, if there's a time and place for that or if that's just not for Skyward?
Andrew Robinson: Yes. Thanks, Matt. So, here's what I'd say. Over sort of my five-year arc, right, we had a lot of work to do to get the business fully in the position that we wanted it to be in. And by the way, I'll tell you, we are there. I think that 2024 was a watershed year for us in many regards and I think we're there. That said, like we just delivered a 21% organic growth outcome. And by the way, we did it in places that maybe others aren't doing it, because we're having to work really hard on like if you want to grow in surety, right, you have to be able to attract great talent. So, the first thing I'd say is that we cannot do anything that impedes what is an incredibly successful organic engine that we've created here, and so that is topmost of mind. And then, the second thing of course is, if you're going to do M&A, you have to be proportional in terms of the kind of risk that you're taking on. If it brings with a balance sheet risk, we want to be incredibly measured there. That said, during 2024, we hired a Head of Corporate Development, Shakoor Khan, who had worked for me in my prior part of my career. I personally trained and developed them myself and we are much more active at looking at opportunities. But I would just say to you and to our investors that rest assured that the bar is exceptionally high because we recognize that even if something mathematically looks like it's accretive to our shareholders, it brings with it a different profile of risk and we neither can have any undue risk on anything that we may acquire. But more importantly, we just can't disrupt the organic engine that we have going as a company because it is really a distinctive feature of this company that I'm really proud of what we created and you just don't want to interfere with that.
Matt Carletti: Yes, that makes perfect sense. And then just follow-up question on capital, just how should we think about -- do you feel you're sort of excess capital currently? Do you feel, you're kind of about right given the growth or just maybe stepping back? Is there a -- I look at like premiums to equity, I know it's a very blunt instrument. Is there a certain level that on the outside we kind of look at to help gauge that as time goes on that feels like a right leverage ratio?
Mark Haushill: Hey, Matt, it's Mark. First, feel really great about our capital. I mean, you're right, 1.5-ish to 1, we're pretty balanced. I think we could lever that up a little bit. So, I don't feel any pressure on capital. We talked about the flexibility we have with the revolver. So, I feel really good about where we are. And Matt, the organic capital that we're generating is supporting what we see as growth opportunities. So sorry, for the third time, I feel great about it.
Andrew Robinson: And Matt, I'd add one other thing, which is that something I don't believe we get enough credit for as a company. We are distinct certainly amongst companies our size in the diversity of our portfolio and that has obviously benefits in terms of options for where we'd apply deploy capital. It creates obviously multiple avenues for growth, for earnings diversification, but really importantly, it creates a capital diversification for us. And the one thing I can say is that without revealing too much, our internal plans as we look out through 2025 will put us, when we put up the pie chart at the end of this year, you're going to go, my God, this is like an incredibly well diversified portfolio with every single one of the businesses at scale and that's a hugely capital efficient approach. And so, when Mark says 1.5 to 1, he's talking about net premium to surplus, if you think about it in statutory terms, that number may go up here in terms of leverage as we continue to get more balance in our portfolio. And as I said, I don't think we get enough credit for it.
Operator: Thank you. And our next question comes from the line of Andrew Andersen from Jefferies. Your question please.
Charlie Rodgers: This is Charlie on for Andrew. I was wondering if you could provide some color in terms of what you're seeing on submission flows and what might be driving the slowdown to the mid-teens and maybe if that's coming from mix or if there are other drivers? And then to that end, have there been any changes in the quote to submission ratio or the bind to quote?
Andrew Robinson: Yes. Thank you for the question. Yes, I don't know if I would read too much into it. I think that we're seeing a lot of submissions, there's no question about it. It's not -- we don't -- we are not concerned about what we're seeing. There is ebbs and flows in terms of the quality that fit what we do. I mean for example, as I said, if you take for example E&S, and we're very much a true E&S writer and so very little of our portfolio is kind of the marginal stuff, the E&S light that comes in and out of the market. But we're seeing plenty of submission flow. And I think that's self-evident in the results. And I'll point you to something that's very important which is, last quarter, where the growth was down a little bit from where we had been, we had reported submission growth well north of 20%. And this quarter, we're 21% growth, and we described that it dropped into the teens. I just don't think that we have any concerns there, and we feel pretty good about the opportunities that we're going to have to write new business in 2025. It's just not -- I wouldn't point to that as an area of particular concern for us.
Charlie Rodgers: Okay, great. And then, sorry, I just want to follow-up on that, the quote to submission ratio or the bind to quote, any major changes there?
Andrew Robinson: I don't know if we're really seeing changes there. I think that as I mentioned, a lot of it has to do with what you might necessarily be seeing in a quarter in terms of whether it fits with our appetite. There's periods where somebody will, let's say on the admitted side, will exit the market and you suddenly see a flow of business in. Oftentimes, it doesn't fit us. Really, again, we're not -- I would not point to any trends that we can see in our business. There is ordinarily noise from quarter-to-quarter. But then what you oftentimes will see is that quarter-to-quarter noise will revert back. And so there really isn't anything there that I would report out to you that is notable for us.
Charlie Rodgers: Okay. Understood. And then last one, if I could sneak one in, could you just provide an update on how much work is left to be done on the commercial auto portfolio?
Andrew Robinson: Yes. I think I reported out on this last quarter or the quarter before the question was asked. I think at the end of this quarter that we're in right now, there will be no more work done on the portfolio. I don't have the numbers in front of me, but I believe roughly about 12% or 13% of our premium this quarter was in commercial auto. And we have a little bit more work to do, and that will be it. By the way, I'll point you as well to the obvious fact that exposure is coming down. But not unlike everything you've heard from everybody else, price is going up. That written premium is a far lower exposure base just simply because of the pricing actions that are happening on top of the exposure that we're keeping.
Charlie Rodgers: Okay. And just to confirm, that was end of 1Q '25?
Andrew Robinson: 1Q, yes. The current quarter, absolutely, yes.
Operator: And our next question comes from the line of Meyer Shields from KBW. Your question please.
Unidentified Analyst: This is Dean on for Meyer. I was curious, as your business mix shifts towards those lines of business that aren't as correlated with the P&C market cycle, I was wondering what implications that has on the expense ratio?
Andrew Robinson: That's a great question. Thank you for asking it. We're seeing it come through here. I mean it's not just -- it's not expense ratio alone. It's all facets of kind of the combined ratio metrics, and I'll give you a couple of examples. But I think by and large, what you're seeing where our acquisition costs are going up, I think, is a trend that will likely continue for us. And then sort of our other underwriting expenses, we've been -- we're sort of now into the period where the growth in our business is providing us scale and leverage there. We're sticking to our kind of Mendoza line of sub-30. It's sort of critical to us to continue to sort of grow our underwriting income in a way that we're targeting. But I think what you'll see is you'll see that geography. But the other thing I'll point out to you is that some businesses, like a great example is A&H, A&H will run sort of in the 70s, and probably around mid-70s on loss ratio, yet our A&H business is virtually almost a capital-free business. Put differently, Mark and I have modeled where if we removed it, we wouldn't release any capital, and so growth there would actually probably drive up our combined ratio because it sits higher than our average of kind of 90%, 91%. But from a return on capital perspective, it's hugely accretive. And so, there are other things that happen in there, but by and large, what I would just say to you to your question is we'll be staying sub-30%, and you'll continue to see a little bit of a rise on acquisition costs and a continued leverage on our other underwriting expense.
Unidentified Analyst: Got it. That makes sense. And then just last one, are there any new units, you guys expect to launch in like '25 or 2026? I know there was a few you rolled out this year, so I was just curious about that.
Andrew Robinson: Yes. Well, in this past year we launched a bunch. We launched mortgage and credit. We did renewables launch inside of energy. We launched media liability, life sciences. I mean the list goes on. We did quite a bit. You can imagine, as I've said in the past, we are strategy-led. Kind of in our thinking, there are always things to do. Frequently, those are tied to teams or leaders that we will target and that targeting might take quarters, if not years, to actually get those people into our organization. Because we're kind of patient in that regard. So, the answer is yes, we have some things that we're working on. Whether we have new launches here in 2026 or not depends a lot on whether we get the talent across that we're aiming at. We're going to be doing some things to change up our divisional reporting as we roll into '25 to put a bit more granularity around that, which will be helpful to everybody, I hope. But otherwise, I think that what you should assume is that we have a pretty strong growth engine from the range of things that we've done here over the past few quarters that now will start making a meaningful contribution towards our topline.
Operator: [Operator Instructions] Our next question comes from the line of Michael Zaremski from BMO. Your question please.
Unidentified Analyst: It's Dan on for Mike. Maybe first, can you just walk us through the reserve change where you're going from the policy year to accident year? And just is this now the industry norm and maybe why Skyward wasn't conforming to that in the past?
Andrew Robinson: Well, this is Andrew, I'll let Mark answer the question. Why we weren't conforming to it, I don't know. I inherited an organization that reported by policy year, and in due course, we always knew that we were going to fully convert it. But I would just say God invented time so that everything doesn't happen at once, and we got to this in the sort of the timeframe we could. And the fidelity of what we have now is terrific. I don't have much more to say about it than that's the context. I don't know if there's anything you'd add?
Mark Haushill: Yes, exactly. And look, what we said earlier I think is, we used to allocate from policy year to accident year. What we've done now is refined it and have a true accident year representation. It was just -- it was legacy. It was something that we knew we had to do and it was a big project. Yes, accident year is the norm, and we knew it was coming, so we executed it in '24.
Andrew Robinson: It's a norm here in the United States. Lloyd's works on a policy year basis, and my predecessor grew up inside of Lloyd's, and so maybe that's the reason, but I don't know that.
Unidentified Analyst: Okay. That's helpful. And then just sticking with reserves maybe, you mentioned that normally there's a ground-up review at the conclusion of the year. Just wondering outside of the LPT noise in this quarter, if there are any puts and takes to that annual review?
Mark Haushill: I mean, look, let me just say this. We will be filing our K on March 3. There are a little bit of puts and takes, but nothing really major to talk about. But once you get the K and the annual statements are filed, we're happy to have any discussions or go through that with you.
Andrew Robinson: And the Q will be out next week as well. And look, I'd just, I'd say this. Yes, we did a bottom-up. In no uncertain terms, our reserves are in the best position they've ever been in. Our redundancy relative to our central estimate is the strongest, both on a dollar and on a percentage basis, that it's ever been in. It's near impossible not to look at an increase from 63% of our reserves in IBNR to 69% while we're simultaneously shortening liabilities and speeding our claims recognition as indicators of a really strong position on the liability side of our balance sheet. I think that everything is in the context of we were in a good position, and we are in a better position.
Operator: And our next question comes from the line of Alex Scott from Barclays. Your question please.
Alex Scott: I was hoping you could kind of give us an update on the niche strategy you all have. Where are you seeing good opportunities as you look forward into '25 and '26?
Andrew Robinson: Thanks, Alex. Boy, that's -- there's probably a long list out there. And I will also say that with a change of administration comes a change in some emphasis of opportunities. But I'll just highlight a couple of them. There's no question about it that we are seeing a lot of opportunity on the energy side. We were seeing opportunity in the energy side before the change in the administration. I remind you that we launched a focus around renewables in addition to our more traditional energy sector focus. But that's one area that we're certainly seeing a good deal of opportunity. Life sciences looks like we timed our entry well. We've got a great leader there with a great product, and there's no question about it in sort of early indications from the brokers that that's going to be a part of our business that I believe will be a meaningful growth contributor. One thing I will say about sort of our health care professional liability, the market around that is interesting because I wouldn't describe it as a hard market, but the nature of exposure is changing so dramatically that we're a true E&S writer there, and so we're writing to the exposure. And as such, I think we're seeing for example in that particular part of our professional liability division, we're seeing a lot of opportunity that we can convert on. It really runs the gamut. But I also believe that probably another two quarters out from now, as sort of the effects of the administration start to take root in the economy, that we might be talking about a handful of different things. But I will say to you, those examples I gave you are indicative of the kinds of breadth that we're seeing across our business in total.
Alex Scott: That's really helpful. As a follow-up, and apologies ahead of time, there were some overlapping calls, so if I'm asking something repetitive, my apologies. I wanted to ask you about stop loss. I know it's a small business. It's something you guys have grown a little bit in. It seems like it's been fine for you all. I mean it hasn't affected the consolidated result, seemingly at least. Industry is facing some pressure there. I think even some of the better underwriters disclosed a bit more pressure this quarter. Interested in what your experience has been. And if it's been good, I mean it seems like 2025 is going to be a hard market for that business. Were you able to lean into anything around the new year?
Andrew Robinson: By the way, thank you, Alex, and thank you for asking that. And no, nobody did ask that. And we have heard that. We had one analyst write about this around, and like I just -- I'm completely confounded. Because if there's problems at companies like Voya, it has absolutely nothing to do with our business. I mean it has nothing to do with our business at all. 80% of our business is focused on the market that's 500 employees and less. And we don't even see the guys that are being referenced. The business is fantastic for us. It's never been performing better. The contribution from that business is, quite honestly, it's now at a level where from a combined ratio perspective, even though barring my comments earlier when I said like in a normalized basis it will run at a higher level, it's actually running consistent with our overall combined ratio for our business on an area that requires very, very little capital. And you're right, 1/1 has been a boon. I mean we just -- we had an unbelievable 1/1 in A&H and we're seeing it in multiple places. The most notable thing is that going back about 24 months ago, we launched a captive capability inside of our A&H business that complemented sort of the individual employer medical stop loss. It's a group captive kind of play. And we started to really see a lot of traction in 2024 there. And in 2025, not only are we seeing a lot of traction there, but now we've also seen sort of the return of the more traditional business. There's a couple of entities that have completely pulled back, MGAs that have lost paper and so forth, and it's just opened up the market for us. And we kept our powder dry. Our growth was sort of in the low teens, and we see an unbelievable amount of opportunity. But I'll reemphasize something that's really important which is, this talk about kind of the problems in the market has like literally nothing to do -- we don't see any of the names that are describing problems out there. And I couldn't, again, I mean I know I'm saying these things over and over, it may be one of the best success stories of 2024 for our company and our position coming into 2025 and our results for the 1/1 renewals, which is something like 55% of the business for the year, was absolutely extraordinary.
Operator: And our next question comes from the line of Mike Phillips from Oppenheimer. Your question please.
Rowland Mayor: It's Rowland on for Mike. I wanted to quickly go back to commercial auto. Given the industry challenges and your own caution on that line, is there any sort of loss trend detail you're able to give on your book, reserve stats, what sort of classes of business, etc.?
Andrew Robinson: Specifically for -- are you asking specifically for auto?
Rowland Mayor: Just on the commercial auto since you are so cautious about the growth there.
Andrew Robinson: Yes. I'm going to highlight something I've talked about in the past. We really have sort of three buckets of commercial auto. One bucket is a very long-standing program with an entity that we are a material owner in. And effectively, they're an expert in a very specific area. And that business by the way has delivered fantastic outcomes for 10-plus years for us. And there, because of the nature of that business, we're seeing a lower loss trend. I would describe it kind of in the mid- to sort of upper single-digit kind of loss trend. That's one area. The second area is in our captives, our group captives, there's a good deal of auto there. Within the group captives, the principal captives there are very technology intensive. Pretty much these are heavy, heavy autos. They're loaded with pretty much everything that you can possibly imagine, which is really important from a risk management perspective, but also obviously, you can know a great deal about the loss very, very quickly. And I would say there, we're probably seeing what the industry is seeing driven by severity. You're kind of talking 10%-ish kind of severity trends. Generally speaking, you're going to see in our results, our frequency is way down. I mean, like when you look at our results, there's a break in our frequency around the time that I joined when we started exiting some really bad stuff. Our frequency is down about 50% on a per exposure basis, but it's also down 50% on an open claims basis across the entire life cycle. You'll see that. And then the third bucket is basically what supports our industry solutions. And there I think, again, I think on a severity trend, we're probably seeing what the industry is seeing, which is 10%-ish plus or minus. What I'm -- going back to my comments earlier, what I'm cautious about is that that 10%, it's not unreasonable to think that that 10% could be 12%, 14%, some higher number a couple or three years out. Which again, for us makes it perplexing some of the confidence comments that we hear from others. Because while there's a lot of rate to be captured, it brings with it a good deal of risk. And on the flipside, not to sort of go on too much, I don't know if you saw it, but this week the legislature in Georgia put forward a bill that is really the kind of change that has to happen from a tort reform perspective that I think if it occurs in Georgia and other states start to act accordingly, that's the kind of thing that can really bend the curve on the loss cost inflation. But without that change, that scenario that I described where it looks like 10% today and it can go to 12%, 13%, 14% and higher, is not an unreasonable scenario. And that's the reason why we're cautious. And also, why you'll see certainly in the last couple of years of our accident years, we're just -- we -- for the small, much smaller portion of our business that is bodily injury exposed, we've got up a lot of IBNR should there be a change in trend going forward.
Rowland Mayor: That's super helpful. Shifting a little bit, I was just curious how much of your growth expectation is from the new hires or teams versus convertibles? And then on that topic, how do you book new product? Is there a sort of extra layer of caution that goes into the loss pick there? And sort of what timeline does it take for you to be comfortable with your loss picks on new business?
Andrew Robinson: Yes. Great question. For nearly all of our businesses, we endeavor to put a margin above our indicated. For newer businesses, that margin is greater. Also, in every single planning year when we come into the year, Mark and I hold back what we call corporate IBNR so that should we launch a business during the course of the year, we can put further risk margin into that. The answer is yes, yes, and yes, across the board.
Operator: And our next question comes from the line of Andrew Kligerman from TD Cowen. Your question please.
Andrew Kligerman: Nice quarter. I was particularly interested, you saw some great growth, and I was particularly interested in the two growth areas programs, where I know you've got kind of a broad mix of products, property, GL, commercial auto, excess liability, workers' comp. Kind of curious where you're seeing the growth within programs? And then in that excess liability area, are you seeing a lot of growth there as well?
Andrew Robinson: Thank you, Andrew, and thanks for the question. I'm going to try to source it before -- hopefully, before the end of my full answer. But yes, it was a bump up in programs for this quarter, but I do believe that for the full year, it was much more moderate. Unsurprisingly, there can be some lumpiness there. What I will tell you on the program side, our program strategy very much follows what I've been describing to you overall. We're not leaning in on programs on liability. In fact, quite the contrary. I think that we're probably even more cautious on liability and programs because obviously, that's an instance where you're delegating authority, and I just think that it requires an extra level of precaution. Most of our growth there is coming from areas that aren't in the areas that you mentioned. Where it is coming from the areas that you mentioned are things like we have a cannabis program, which is both property and liability, but that's very, very specific. It's not cat exposed, on one hand. And on liability, it is prem ops, but you don't find the kind of bodily injury that you're finding elsewhere. And so, I would just -- I would say to you that that shouldn't surprise you that sort of our development there is following what we're doing overall. And we're finding niches here and there that are very complementary to our overall business. Look, on the excess side, I need to be very clear that principally as a company, our excess -- first off, we keep our limits short. We only offer $5 million limits. For all but one area, our excess is written over our own primary. It's an umbrella as opposed to a stand-alone excess. Where we write stand-alone excess in our transactional E&S business, we write virtually no auto. We're really writing the same kinds of VL exposure that we write on a primary side. We write on a stand-alone excess. We also might write excess supporting our own primary there. But in that regard, I just -- I'm making this point because we have a pretty refined view of the classes where the bodily injury is driving loss inflation. And certainly, in our E&S business, where we are leaning in on liability, we are very much not writing in those loss inflation classes. And where we are, it wouldn't surprise you that either we are supplementing things, for example, we don't do just comprehensive assault and battery exclusions. We might supplement it to a very low level, so if there's assault and battery, we're going to basically pay a very short limit and get out, as opposed to fighting about whether the loss is covered or not. And so, I think in many regards, we've built an approach that really protects the sort of the current environment that we're in, both in what we're writing in excess and how we're approaching kind of the social inflation environment where we're leaning in on liability.
Andrew Kligerman: That was very, very helpful. And maybe a similar question with regard to captives, which were -- gross written was up 43%. And again, I think you're in the same broad spectrum of lines and captives as you are in programs. Where do you -- I think if I remember correctly, you attached somewhere around $350,000 on average?
Andrew Robinson: Correct. It's anywhere between $350,000 and $500,000 and then you basically have that layer. And then depending on the business, we will write the excess partially, but it will be on our paper. I will clarify though, most of the growth in captives is actually coming from something that is a very innovative captive that we talked about that we introduced in 2023. We built a really unique property captive to the automotive dealer sector with an insurtech partner of ours called Understory Weather and it's unbelievable. I mean we have -- it's just been an incredible growth engine, and the results are equally astounding. And I can't remember whether I made this point, but during I believe it was Helene, we had something like $200 million of exposure in Bradenton and got all of that exposure out largely because of the technology that we use. Our loss experience has been absolutely extraordinary. And it's pretty hard to put a captive together around property, particularly those kinds of vertical limits. And the fact that we did it and we have great reinsurance support, that's really been the source of our growth.
Operator: And our next question comes from the line of Mark Hughes from Truist Securities. Your question please.
Mark Hughes: Mark, I don't know if you'll have this, but do you happen to have the cash from operations for the full year?
Mark Haushill: Right at about $300 million, Mark.
Mark Hughes: $300 million?
Mark Haushill: Yes.
Operator: And our next question comes from the line of Alex Scott from Barclays.
Alex Scott: Sorry about that, I didn't mean to get back in the queue. Thank you.
Operator: Certainly. [Operator Instructions] And this does conclude the question-and-answer session of today's program. I'd like to hand the program back to Natalie Schoolcraft for any further remarks.
Natalie Schoolcraft: Thanks, Jonathan, and thank you, everyone, for your questions, for participating in our conference call, and for your continued interest in and support of Skyward Specialty. I'm available after the call to answer any additional questions that you may have. We look forward to speaking with you again on our first quarter earnings call. Thank you and have a wonderful day.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.